Operator: Welcome to the Revance Therapeutics First Quarter 2024 Financial Results and Corporate Update Conference Call. [Operator Instructions] As a reminder, this call is being recorded today, Thursday, May 9, 2024. 
 I would now like to turn the conference call over to Laurence Watts of New Street Investor Relations. Please go ahead. 
Laurence Watts: Thank you, operator. Joining us on the call today from Revance are President and Chief Executive Officer, Mark Foley; and Chief Financial Officer, Toby Schilke. 
 During this call, management will make forward-looking statements, including statements related to the impact of our pricing and strategy on DAXXIFY and adoption, expectations related to product adoption, account activation and reorders, consumer needs, preferences and behavior, the benefits and value to us, practices and consumers of our products, including the efficacy, duration, skin quality and safety of our products, access to our products, future therapeutic indications, 2024 guidance, cash flow breakeven, positive adjusted EBITDA, future capital expenditures, anticipated revenue and top line growth, our strategic priorities, our anticipated success, our blockbuster potential, our ability to grow and take share and market opportunity and expectations, our strategy, planned operations and commercialization plans including consumer offers and timing of those plans. 
 Our actual results and the timing of events could differ materially from those anticipated in such forward-looking statements as a result of these risks and uncertainties. Factors that could cause these results to be different from these statements include factors the company describes in our annual report on Form 10-K and our quarterly report on Form 10-Q. Revance undertakes no duty or obligation to update any forward-looking statement as a result of new information, future events or changes in its expectations. 
 Also on today's call, we will present both GAAP and non-GAAP financial measures. Reconciliations of GAAP to non-GAAP measures are included in our earnings release. 
 With that, I will turn the call over to Mark Foley, President and Chief Executive Officer of Revance. Mark? 
Mark Foley: Thank you, Laurence. Good afternoon, everyone, and thank you for joining our first quarter 2024 financial results conference call. Q1 '24 was the second full quarter reflecting DAXXIFY's strategy change. And we are encouraged by the ongoing traction and momentum that we are seeing related to this change. 
 Specifically, DAXXIFY aesthetic units sold were up 105% year-over-year and notably up 7% on a quarter-over-quarter basis despite Q1 traditionally being a seasonally down quarter when compared to Q4. Moreover, DAXXIFY grew its market share from 3% at the end of Q4 '23 to 3.7% at the end of Q1 '24, highlighting not only its ability to grow, but also take share. 
 In the first quarter, DAXXIFY net revenue was $22.1 million after a reduction of $2 million related to our consumer coupon program, which functioned like a rebate. While we were encouraged by the feedback we received on the consumer coupon program, we will look to structure future offerings in a way that doesn't require a full revenue offset and that is more consistent with competitor programs from a revenue treatment and sales and marketing expense perspective. 
 Importantly, feedback from the field continues to be positive and reveals that practices are reengaging with DAXXIFY, not only because of its duration profile, but also because of its fast onset and improved skin quality, which is made possible by its unique and differentiated peptide formulation. 
 To that end, in the quarter, I was able to personally meet with over 200 injectors across a variety of regional dinners and office visits. And I was very encouraged by the receptivity, feedback and support we are getting as a result of our new strategy. With our reduced price to the practice, we are encouraged to see that accounts are passing along the savings to their patients, thereby allowing them to experience DAXXIFY's performance benefits at a price that is in line with other toxins. At the end of the day, customers are reporting that they are choosing to lean in with DAXXIFY, because they feel it is a better product. 
 In the quarter, we also launched a new DAXXIFY messaging campaign titled The DAXXIFY Difference, fast, last and the look. And we removed the no advertised price limitation, which has allowed accounts to more easily promote DAXXIFY to their customers and which will help further amplify DAXXIFY's voice in the market. 
 Consistent with prior commentary, our last 2 quarters were focused on existing DAXXIFY accounts in order to reestablish confidence and a more positive relationship going forward. We believe that this focus was necessary to build the right foundation for long-term success. Now that we have concluded this phase, we expect to return to a more normal new account cadence and portfolio focus. 
 In the quarter, we were also encouraged by the strong reordering activity as existing accounts represented more than 2/3 of DAXXIFY revenue in the quarter, the higher average order size per account, representing deeper penetration; consumer and pricing coming in line with competitor prices, reflecting that the strategy change is having the desired effect, all of which has contributed to a meaningful uptick in unit sales on both an annual and quarterly basis as well as a healthy gain in market share. 
 Turning to RHA. Despite filler market softness in Q1 and outside DAXXIFY focus, we continue to grow our filler market share and ended Q1 with a 9.8% share, up from 9.1% in Q4. While RHA revenue declined 2% year-over-year, our ability to take share in a soft filler quarter positions us well going forward, particularly as the market returns to more normal growth, we launch some of our new initiatives and our focus shifts to a more balanced portfolio approach. Underpinning our ongoing market share gains and traction in the filler market is the quality and differentiated performance profile of the RHA portfolio combined with our commercial team's ability to execute. 
 As we move into Q2, we are excited to be launching RHA 3 for lip augmentation and fullness as lips are the #1 filler procedure performed in the U.S. And while Q1 revealed some softness in the U.S. filler market, we expect the market to return to historic high single-digit growth through the balance of 2024. To this end, we are encouraged by the early traction and momentum we are seeing in Q2 related to both the filler and toxin markets. 
 Lastly, at the end of the first quarter, there were over 7,500 aesthetic accounts, of which 3,500 have ordered DAXXIFY, which leaves us with significant runway to further expand our number of accounts and ordering base going forward. 
 Now let me turn to our therapeutics franchise. This afternoon, we announced the commercial launch of DAXXIFY for the treatment of cervical dystonia, marking our entry into the $2.7 billion U.S. therapeutic neurotoxin market, which is projected to grow 8% annually over the next 5 years. DAXXIFY is the first and only peptide-formulated long-lasting neurotoxin that offers the potential to improve duration of symptom control with a favorable safety profile, providing patients and physicians with a compelling new treatment option for a painful and disabling chronic condition. 
 DAXXIFY for cervical dystonia provides a significant opportunity for Revance and marks the culmination of our decades-long mission to bring true innovation to the therapeutics market. While toxins are the gold standard of care for cervical dystonia, patients struggle to achieve sustained symptom relief in between treatments. This is due to the fact that toxin treatment can only occur every 12 weeks based on product labeling and reimbursement guidelines even though the therapeutic benefit of current toxins typically wears off 8 to 10 weeks after injection. As a result, this frequently leaves patients with unmanaged symptoms that can lead to significant pain, social stigma and the inability to drive or work. 
 DAXXIFY has the potential to offer CD patients more good days and better symptom control in between treatments, ending the rollercoaster ride that many cervical dystonia patients experience. Following our CD approval in August of 2023, we launched the PrevU early experience program with the objective of optimizing treatment outcomes and ensuring smooth practice integration. To date, real-world clinical results from PrevU, which has now ceased enrollment as we move into our full launch, are in line with our prior ASPEN clinical program, providing us with a strong foundation for commercial success. The program enrolled over 300 patients, most of which are now on their second treatment cycle. 
 Based on a survey we conducted, which included all 17 physicians, who participated in the PrevU program since inception, 94% indicated that they perceived DAXXIFY to last longer than what they had seen with conventional botulinum toxins based on just their first treatment cycle experience and prior to dose optimization. Additionally, we've been pleased to see that DAXXIFY's safety profile continues to be encouraging over a broad range of doses. We look forward to sharing some of our PrevU insights at upcoming medical meetings. 
 Post approval, we established our therapeutics commercial infrastructure in preparation for launch and received our permanent J-Code, which will streamline the reimbursement pathway for providers. Also, we operationalized our access DAXXIFY reimbursement support services in order to minimize potential hurdles to adoption. Within that platform, we have tools and resources to support practices, including our patient affordability programs, a co-pay program for the underinsured and a patient assistance program to ensure out-of-pocket costs do not impede access to therapy. 
 Currently, DAXXIFY is covered for over 78% of commercial lives, which when combined with our government coverage represents over 200 million lives and includes the top health plans in the U.S. We are energized by our mission to positively impact the lives of cervical dystonia patients and believe that we have the right payer infrastructure in place to facilitate a smooth switch process. 
 That said, given the conservative nature of the treating physicians and CD market size, we anticipate initial revenues will be modest. However, we remain bullish regarding DAXXIFY's potential in the cervical dystonia market and subsequent therapeutic indications. And our PrevU results have only helped to further increase our confidence in DAXXIFY's long-term potential in the therapeutics market. 
 Before I turn the call over to Toby to cover our first quarter financials, I want to highlight the progress we're making on one of our other 2024 strategic priorities, namely focused and disciplined capital allocation. In conjunction with our DAXXIFY strategy change, we've implemented a number of OpEx efficiency measures designed to both streamline and lower our overall operating expense profile while also ensuring that we can free up the necessary capital to invest in both our aesthetics and therapeutics franchises. I'm pleased to report that we are ahead of plan with respect to these efforts, and Toby will touch on that shortly. 
 With over $275 million in cash, cash equivalents and investments at the end of Q1, the ongoing growth and opportunity we have with DAXXIFY and RHA and initiatives in place for the second quarter and balance of the year, we are reiterating our guidance, which includes net product revenue of at least $280 million, non-GAAP OpEx of $290 million to $310 million, which is currently trending to the low end of the range, and our goal of reaching positive adjusted EBITDA in 2025. 
 With that, I'll turn the call over to Toby to cover our first quarter financials. 
Tobin Schilke: Thank you, Mark. The press release and the 10-Q we issued today details our financial results in full. So I will only go over the highlights on this call. Our Fintech Platform business, which was our legacy service segment, is now a discontinued operation and is reflected as such on our financial statements. Consequently, the results that I will discuss exclude discontinued operations. 
 Total revenue for the first quarter ended March 31, 2024, was $51.9 million, compared to $45.8 million for the same period last year, representing a 13% increase in revenue due to DAXXIFY. Net revenue for the first quarter included $29.6 million of RHA Collection, $22.1 million of DAXXIFY revenue and $0.2 million of collaboration revenue related to our biosimilar to BOTOX program with Viatris. 
 Total operating expenses from continuing operations for the first quarter were $98.8 million compared to $92.5 million for the same period in 2023. Excluding cost of product revenue, stock-based compensation, depreciation and amortization, non-GAAP operating expenses from continuing operations for the first quarter were $73.6 million compared to $64.5 million for the same period in 2023. 
 As Mark alluded to, we are reiterating our guidance for 2024. And specifically related to our non-GAAP OpEx guidance of $290 million to $310 million, we are currently trending to the low end of that range due to cost savings and other efficiency initiatives. 
 On the balance sheet side, our current cash position, bolstered by an equity offering in the first quarter, which resulted in gross proceeds of $100 million in combination with our operating plan, provides us with multiple levers to achieve positive adjusted EBITDA in 2025. Finally, Revance's shares of common stock outstanding as of April 30, 2024, were approximately 104.4 million with approximately 113.5 million fully diluted shares excluding the impact of convertible debt. 
 And with that, I'll turn the call back over to Mark. 
Mark Foley: Thank you, Toby. For the rest of 2024, we remain focused on delivering at least 32% top line growth while effectively managing spend to reach positive adjusted EBITDA in 2025. We believe this is achievable through successful execution on our DAXXIFY and RHA growth initiatives in aesthetics, our launch of DAXXIFY in cervical dystonia and through maintaining disciplined capital allocation while ensuring we have the necessary resources to fund our 2 franchises. 
 We remain encouraged by our ongoing market share gains across both DAXXIFY and RHA and the positive response we are seeing to DAXXIFY strategy change as reflected by the significant increase in unit volume on a year-over-year and quarterly basis. As a result, we continue to have conviction in our blockbuster potential in the U.S. aesthetics market. 
 With that, I will now open the call up for questions. Operator? 
Operator: [Operator Instructions] The first question comes from Seamus Fernandez with Guggenheim. 
Seamus Fernandez: Great. So Mark, I just wanted to get a better sense of the trajectory that you're already seeing in the second quarter so far. Obviously, the $22 million would have been $24 million without the couponing program, but presumably, you knew about the couponing dynamics. So just trying to get a better sense of the trajectory that you're seeing. I know that the plan was to accelerate, to expand the number of injectors in the second quarter with a full push after you had really reestablished the pricing. So I just wanted to get a better sense of what you're seeing so far in these first 5 weeks of the second quarter to give you confidence that, that $280 million minimum guidance threshold is achievable? 
 And then the second part of that question also related to guidance is just the filler dynamics. Obviously, we're seeing a lot of pushes and pulls there. But you do have the launch of the new sort of lip formulation RHA 3. So can you just help us understand what you see as the incremental revenue opportunity there just given the sort of high frequency of lip filler use? 
Mark Foley: Sure. So Seamus, let me start with the first one in terms of our confidence in the product revenue guidance of at least $280 million. As you noted, we were very pleased with the DAXXIFY performance in Q1. And as we've made the shift in the pricing change, it's all about getting trial usage and experience, because we believe that the more accounts and consumers that get exposed to DAXXIFY and its performance attributes, not just duration, but skin quality in onset, that's where the stickiness creates. And obviously, we're trying to build a growing base of accounts and customers. And we saw that pull through at the account level where we saw more accounts ordering larger quantities, which is a good early sign for us. 
 And so when we kind of look through the course of the year, we would expect to have sequential growth throughout the year, certainly on the DAXXIFY side as we layer in more accounts. And given our outsized focus on DAXXIFY the first 2 quarters and doubling back, we would expect that new account adds will start to elevate as we move towards the remainder of the year. 
 In terms of what we're seeing in Q2, there's typically a cadence in terms of the quarterly phasing or the monthly phasing in a quarter. First month of the quarter tends to be the lightest followed by the second and followed by the third. But we're seeing good volumes in at least the accounts that we are in through April and the early part of May across both the toxin and notably the filler side of it. It's probably hard to tell right now on the filler side of it how much of that is our launch of the lip indication, because as you mentioned, that's certainly going to be a tailwind for us. And we have some other initiatives that we'll be rolling out through the balance of the year around portfolio plans and other practice-based initiatives designed to reward engagement and volume. 
 And so we like what we're seeing early on in Q2 from that perspective. Again, I do think given that lips are the #1 indication, that helps. And I do think our reps now are spending more time with a balanced selling approach, not just more DAXXIFY-focused. So it's early. But again, if you go back to the market share gains that we saw in Q1, we really like our positioning and our ability to continue to take share. So we continue to feel very good about how we think the rest of the year is going to play out. 
Seamus Fernandez: Great. And maybe just a final question. On the therapeutic side, you continue to guide pretty conservatively in terms of how to think about the therapeutic contribution in 2024. But given all the progress that you've made with J-Code and the opportunity for reimbursement, how do you feel you're positioned? Do you feel your position is to perhaps do better this year from a therapeutics perspective to be able to deliver on that guidance? Or is the guidance from your perspective pretty locked and loaded as it relates to the aesthetics business, and you just feel good about the trajectory of the business on aesthetics, and we should think about therapeutic as predominantly incremental? 
Mark Foley: Yes, I think it's the latter. Again, we are very encouraged by what we're seeing in the therapeutics business, particularly based on the PrevU engagement. And taking the measured approach that we did not only gave us really good feedback from the clinicians, but it allowed us to really put in place the entire kind of reimbursement process from the J-Code to the coverage at the commercial level to patient access programs. And so given that it's a buy-and-bill product in these practices, that's why you don't get those sort of early stocking orders. They want to treat a few patients, make sure that they can get paid, start conservatively with dosing and then figure out how to optimize. But we believe that once they get through that early phase, which will take a little bit, then we would expect to see meaningful share gains on that. 
 So I think if you time out 2024 as accounts start to work through that phase, we will certainly see some that lean in more aggressively early, but we think most are going to kind of go through that. So we would expect much more meaningful contribution as we move into '25. But it's more, as you said, we have -- we expect aesthetics is going to carry a big chunk of this year and that therapeutics will be incremental. We could be surprised a little bit on the upside, but that's how we're thinking about it from our internal modeling. 
Operator: The next question comes from Stacy Ku with TD Cowen. 
Stacy Ku: Congrats on the progress. We have a few follow-ups. On the first question, so can you just talk about your evolving thoughts on the RHA contribution this year? And to ask a little bit more specifically, if we take your guidance, we do need to see strong growth over the next few quarters. So if we understand kind of how Q1 looks, it looks like it's at similar levels to last year. So just help us feel comfortable with your belief that we could meaningly grow beyond 2023 RHA sales. Is it really about RHA 3 launch that's really going to kind of increase share there? 
 And then the second question is looking to Q2, previously, you've discussed it takes around a quarter for an account to sample and try DAXXIFY before ordering. So just help us set expectations in terms of the timing of sales acceleration versus a usual lift, seasonality lift that you'll see in the aesthetic market for Q2? That's the second question just kind of the dynamics between the broadening the accounts versus the normal time for sampling. 
 And then the last question, just curious if you're willing to comment. As you discussed your plans of going broader and deeper, of the accounts that you've already onboarded for DAXXIFY, can you talk about what percentage have made it their primary neurotoxin in their practice versus just one of the offerings? So just curious how you're doing as you go deeper with some of the relationships? 
Mark Foley: Sure. So thanks, Stacy. Let me kind of walk through these. So first, in terms of kind of how we think again about the cadence of revenue and what you need to see in terms of growth and what's going to drive that, listen, Q1 was softer on the filler side than what we expected. If you look at it, we actually had pretty healthy share growth even with, again, an outsized focus on DAXXIFY. So I think we're continuing to take share based on the quality of the product. We expect the market will return to more normal high single-digit growth. And so we believe that will also be a tailwind for us as we continue to take share with RHA. 
 Previously, when we've given contextual guidance to our $280 million -- more than $280 million in product, we said a little more than half of that is going to be RHA. And so if you kind of look at what that means from a year-over-year growth perspective, you can kind of get there in sort of a teens growth on RHA, which we think is manageable, particularly when you start layering in the RHA 3 for lips, some of the promos that we're going to run around that, the fact that it's the #1 performed filler procedure. 
 And then we do expect to start to benefit from some portfolio programs based on our broader account base in ways that we will be able to leverage one product with the other to incentivize further leaning in. And so that's kind of how we think about that. And as I said, I know it's early, but we like what we're seeing in April. And I'm sure some of that is the lips, but I think some of that's the team, again, turning their focus to broader portfolio as well. 
 In terms of, let's see, Q2 and how we think about the time it takes for a new account to fully get up to speed and on board, yes, it's probably a quarter or 2. There's still some that are going to want see a duration signal with DAXXIFY before they fully decide where that fits into their practice, even though we've softened the duration message. And what we continue to hear from accounts is while duration is great, onset and particularly the skin quality continue to be really important differentiators for them. 
 And so it's hard for me to say with certainty how those things are all going to knit together when you think about Q2 being a stronger quarter compared to Q1. But when we step back, we have a certain account target of new accounts that we want to add and total accounts that we want to get to by the end of the year, using similar utilization metrics. And frankly, we've continued to grow the utilization per account Q4 to Q1. And so if we can continue that trend and add the new accounts, which we think are very reasonable, that's how we come up with the numbers that we feel comfortable with. 
 In terms of the broader versus deeper and how we think about adoption, I would say that it's evolving right now. I'd say it's certainly a minority of our accounts that have made DAXXIFY their leading primary toxin, more than 50%. I think it's a good, healthy number where we're in those accounts, we occupy a decent spot. And our goal is as they get more familiar and more comfort with it that we can lean in more and continue to increase that penetration, particularly as they get more familiar. And so again, we have some different initiatives about that. But I would say it's a small percentage of the accounts that have sort of said DAXXIFY is our primary toxin. 
Stacy Ku: Okay. Wonderful. And just a follow-up. It sounds like you are this year, 2024, thinking about maybe implementing -- when you say portfolio programs, is that bundling? 
Mark Foley: That is. That is correct. We do plan to do that this year in 2024. 
Operator: The following question comes from Annabel Samimy with Stifel. 
Annabel Samimy: Just following up on the portfolio programs. I guess, in terms of the plans that you have in place right now, the coupon you treated as a rebate. Are you planning on having portfolio programs as a rebate as well? And I guess, what was the -- or rather direct savings for those accounts? And then just as we think about the portfolio, have you begun to see more filler ordering from accounts that now have DAXXIFY and vice versa? And are you starting to see that, I guess, account leverage now that you have a portfolio to offer rather than just one product? 
 And then switching to therapeutics and your PrevU program. I was just wondering if the injection frequency, have you noticed whether the injection frequency for these physicians would change? Is it still on -- or do they still plan on injecting on a 12-week basis and just getting better coverage for that patient during those 12 weeks or really extending the time to the next injection because they're able to? I'm just trying to understand whether you've seen some stretching out of those second injections. 
 And then finally also, are physicians comfortable that this is now the same technique, it's just more durable with lower adverse events? And does that possibly give them comfort to try in other movement disorder indications that they also feel very comfortable using this product in? Sorry, that was a lot of questions. 
Mark Foley: That's all right. I'll try to move through them. Thanks, Annabel. So first off, on the portfolio programs, those are -- we plan to roll those out going forward. So those are early. The consumer coupon that we ran, we wanted to pilot to see, hey, with a consumer coupon, can we incentivize accounts to go deeper with us and offer this to a broader range of their patients, again, with this idea that once they try DAXXIFY, particularly with our new pricing and get exposed to the benefits of the product that could result in stickiness. And it was very well received. 
 But since we don't have a consumer loyalty program set up in some of these other programs, the only way we could really do it was as basically a consumer coupon funneled through the practice that served as a rebate, which is why we had to take the full revenue reversal for that program. But it gave us good insights and learning. 
 So as we think about our portfolio programs going forward, there will be a combination of some price incentives to practices to lean in with us more broadly across the portfolio, and then there'll be a variety of service offerings. So we've long stated that we're more focused right now on practice programs that create value for the practices since we think that they're the best suited to be able to influence switch and choice on the product side of it. 
 And so we'll have a variety of other initiatives also linked to portfolio that aren't just dollars and savings. They might be programs or other value-added services that they can benefit from, and we will start to roll those out this year. And we would expect, given the relationship that we have either with DAXXIFY or RHA that we should be able to create programs that incentivize trial and hopefully, adoption given the relationship that we have with the other products. So we're excited and encouraged about that. 
 Your question on the therapeutic side with regards to frequency of injections, it's been really interesting, and frankly, one of the benefits of running the PrevU program to get real-world experience. Obviously, there's 2 camps. There's some that are saying, listen, I care less about extending the duration of the treatment effect and more about making sure that within that 12-week gap between retreatment that they get as much benefit as possible. 
 So we have some that we've talked to who said, listen, most of the patients that I treat, they're a center of excellence, they drive and come a long way, they don't want to have any downtime. So if I can keep them on a 12-week reinjection cycle and I can give them more good days and avoid some of the rollercoaster effect that they experienced today, that's a huge win. 
 We have others that say, hey, you know what, I'm going to start on this, bring them back at 12 weeks, but if I see and I can get them to 14 or 16, that's a huge win. 
 And so it's been interesting in therapeutics, I think, because it's a reimbursed space because these are debilitating conditions. I think there's a little bit more of a shift towards, first, I want to just get more better days. And then if it turns out that I can extend a duration profile, even better. But we feel, based on what we're hearing from them, it will be a big win if we can just do a better job of controlling symptoms within that 12-week current time frame. 
 In terms of the technique, yes, the same injection technique. And what's been really encouraging for us is across a range of different doses, we are seeing that we're maintaining a very good safety profile, consistent with what we saw in the ASPEN program. And we think a little bit of that speaks to the peptide formulation and the precision of the product. And so we continue to be cautiously optimistic that we're going to see the benefit of this duration profile with, again, a very good safety profile going forward. 
 And then last question you asked just about spontaneous use. What's interesting on the commercial coverage side of it is they ultimately determine kind of what they cover. And we have some of these commercial plans that are covering DAXXIFY as sort of a toxin generically across. And I think from that -- from payer to payer, they will ultimately decide with their coverage universe how they are willing to reimburse the product. And so obviously, we can only promote it for cervical dystonia. But if you look at the payer coverage universe, we do have coverage beyond just cervical dystonia in many of the commercial plans. 
Operator: The next question comes from Chris Shibutani with Goldman Sachs. 
Chris Shibutani: Great. A question on aesthetics and then a question on the therapeutic side. Within the aesthetics market, there's been commentary about the tone of the market overall on fillers as being one that has been a little bit slower to recover or has been lagging somewhat. Can you comment in terms of what you're seeing? And in particular, with regard to whether you feel as if there is any else aspect of filler fatigue in relation to toxins, just observations about the market?
 And then on the therapeutic side, I appreciated the commentary that you gave about your launch approaches. You've talked about account numbers on the aesthetics. Can you help us as you expand from PrevU to a broader launch, what kind of numbers of accounts you're talking about here so that we can hopefully get a sense for gauging progress? And then I couldn't help but notice that you used specifically in your vocabulary when you're talking about payers that you were trying to put in place a smooth switch process. Is that the focus of the strategy versus, say, new patient starts? 
Mark Foley: Great. Thanks, Chris. So on the aesthetic side of it in terms of what's impacting sort of the filler market and why was there observed softness in Q1, it's really hard to tell, because it's 1 quarter. Obviously, some of the larger players have reported already and noticed a similar observation in Q1. I don't know if it's an economic issue where some patients maybe are saying, hey, rather than 3 syringes, I'm going to get 2 syringes. We've heard some of that or whether it's like you said, a filler fatigue where people are changing sort of kind of ultimately what they want. 
 It feels like it's more of a single quarter effect because if we look at sort of Q2, and again, I know it's early, it does feel like things are returning a little bit to the normal. I do think we had the post-Zoom effect where we saw a little bit of an artificial increase in filler volume after the whole COVID lockdown being on Zoom for a while, people with a little bit more discretionary spend. And so I think that drove a little bit more of an elevated market. I think we're now returning more to normal. 
 I've not heard from clinicians any sort of change in consumer sentiment about fillers. So I think it probably had more to do with a little bit of the economics, but that seems to be abating as we move into Q2 and move to the back part of the year. 
 On the PrevU side in terms of the number of accounts, we've said that the top 500 accounts, there's, call it, on average, 2 injectors per account. Top 1,000 injectors do about 70% of the volume. So it's a much more concentrated market. We have a commercial organization of about 20 people that will be targeting this. And that's a mix of sales reps, market access and medical affairs. And so we think that's going to be a pretty good balance. 
 To your question on switch versus new account -- new patients, given that cervical dystonia is an orphan indication, this is mainly a switch population. So it's a -- there's not a lot of new people moving in, even though there's an opportunity certainly for new patients to come in. This is largely going to be a switch patient, which is great because it's going to be easy for both the patient and the injecting physician to know what that prior treatment cycle look like. And so any incremental benefit that you can provide either on the duration, symptom control or safety is going to be very well received. And these are very active communities, too, that share information pretty readily. 
 And so we think that since this is the real first true new innovation in the category in a while that we'll get a fair bit of visibility within that community. But we do expect it's going to be much more of a switch patient. 
 Now I did talk a little bit about the phasing. I do think with a switch patient and a new product, they're going to start conservatively on the dose. They're going to want to make sure that they aren't introducing any unnecessary side effects, and then they will start to dose escalate in subsequent visits. And that's why it will take them a little while to just build that confidence to be able to lean in more aggressively. 
Operator: The next question comes from David Amsellem with Piper Sandler. 
David Amsellem: And apologize if I missed any color here since I joined late. Wanted to ask you about competitive dynamics in both the toxin and the filler spaces. So regarding the toxin space, you have the Hugel asset that gained approval. And then as you look at the filler space, you've got Evolus coming into the market next year. And I guess my question here is how are you thinking about pricing as both categories get more crowded? That's number one. 
 And then number two, at what point do you see practices sort of -- the larger practices, I should say, not carrying everything? What you see from a lot of practices is they sort of offer essentially all of the key options as it relates to facial injectables. And at what point do they start picking and choosing more and freezing certain players out? How do you think about that going forward? 
Mark Foley: Sure. Thanks, David. So listen, on the competitive dynamics, first off, it's a big market that's got healthy growth. And as you've seen different companies are finding their own place in the market, we've chosen to take an innovation strategy with the belief that we can carve out a pretty healthy part in the market by bringing performance attributes that are different from the others. 
 And I do think as more competitors come into the market, to your second question, practices are going to make some decisions about how many they carry because in the absence of a real performance benefit, I think increasingly, they're going to ask themselves from an inventory management standpoint, why do I need to carry all of them? Is there something that this product gives me that I can't get with the others? 
 And so as we've come in and we've learned more about DAXXIFY, in particular, again, not just the duration, but the onset and skin quality, we think that we're going to be able to compete very effectively based on a performance profile that we think will resonate certainly with a reasonable subset of the market and certainly one that allows us to hit our target of blockbuster potential in the U.S. aesthetics market. 
 And so we believe that, that's going to be our way to win. We've adjusted our price so that we're able to offer this to our accounts, and they can offer it to their consumers at a price that is competitive. And so these practices and these patients are able to get incremental value for the dollar spend, and that's sort of how we think about competition. 
 And so as some of the newer players come in, we think if anything, they're likely going to compete probably more in other segments of the market. And because of bundling and loyalty and services, we do think that the U.S. market is a little bit more insulated compared to some of the other international markets and should allow for a full value play across that. 
 And then, same on the filler side, I mean, listen, the RHA Collection of fillers has been in the market for a long time. It's -- the TEOXANE franchise is very well known, highly regarded. It's the least modified at the fillers. And as a result, the performance attributes, we believe when we go in or able to win business, we win it not on price, but we win it based on the quality of the product. And so we think that's ultimately going to be our strategy, and we know that there will be different ways that different companies compete. 
 But to close out that on your second question, I do think that accounts will start to increasingly pick and choose. And in the absence of bringing something of differentiation, either on the services or on the product side, I think that it will be harder for them to carry all the products. 
David Amsellem: If I may sneak in a follow-up, as the -- both spaces get more crowded, do you envision outright price competition or scenarios in either or both of the spaces where your hand just gets forced on price? How do you think about that? 
Mark Foley: I think that already exists today, David. I don't know that new player coming in, offering perhaps more price incentive because, I mean, there are competitors out there today that lean in pretty heavily on price. And whether it's direct price or samples or other things like that, I think you already have a pretty competitive market, and pricing has been pretty resilient. 
 And again, I think it comes down to the fact that there are other things that come into this than price. It's the product quality. It's whatever services, I think we've got a pretty competitive market already. And there are definitely some players that either as a strategy or on a quarterly basis lean heavily on incentives that directly tie into a better deal, and the market has been pretty resilient there. 
Operator: The following question comes from Terence Flynn with Morgan Stanley. 
Unknown Analyst: This is Dan on for Terence. Just a little bit on the market and you spoke to the filler side, but any color on the toxin market would be helpful maybe just kind of what you saw in 1Q and how you're thinking about over the course of this year? And then just on the OpEx side, maybe just a little more on kind of the savings progression that you're seeing over the course of this year and just kind of how that's going? 
Mark Foley: Great. Well, I'll take the first one and then flip the second one on OpEx over to Toby. But the toxin market has been pretty resilient. I think if you look back at other points in time, even when there were some economic stress around 2008, the toxin market was not impacted to the same level as the filler market. And I think it has to do with a few things. It's a lower cost procedure. Once consumers get used to getting their toxin and sort of their wrinkles not coming back. As soon as they start to show, it's a lot more obvious where it's fillers. They tend to last 12 to 18 months. It's a little bit more of a subtle change. And so at times, it's easier for them to perhaps push out treatment a little bit longer. 
 And so we continue to see the toxin market as being healthy. And again, we would expect that to continue to grow, certainly as all the underlying fundamentals continue to play out. And so we think we'll continue to see the kind of high single-digit growth that we've seen historically on the toxin market. 
 And then, Toby, I'll throw over to you on the OpEx savings. 
Tobin Schilke: Thanks, Mark. It's a great question. When we commented on the prepared remarks, we talked about non-GAAP OpEx from continuing operations, and we noted an increase year-on-year. That's partially because we took a step up on the field force to support our aesthetics and increased obviously ahead of the cervical dystonia launch. So that's been offset. And when you look at it instead of a year-on-year but a sequential basis from continuing operations, excluding the impact of OPUL, you can compare, I think it was $91.7 million in Q4 of non-GAAP OpEx, excluding OPUL from continuing operations to $73.6 million of non-GAAP OpEx in Q1 2024. 
 And the team did an analysis when we think about 40% or so was driven by efficiency initiatives that we've had across the company to deliver that. There is some seasonality to spend in Q4 that's related to increased aesthetics activity, but we feel that the efficiency initiatives that we've put into place in the last several quarters are starting to pay dividends. 
Operator: The next question comes from Serge Belanger with Needham & Co. 
Serge Belanger: This is Serge. The first question is about the -- your net pricing at DAXI over the first quarter, if it changed and whether you expect it to change over the remainder of 2024 as volumes grow? And then you also talked about, on the other side, the consumer prices have been coming down and becoming more in line with the other products. Was the couponing strategy to help that movement down to be comparable to your competitors? 
Mark Foley: Thanks, Serge. On the net pricing side, listen, this was solely related to the consumer coupon. So we had to take our gross revenue of $24.1 million, reduce it by $2 million to $22.1 million because of the value of the consumer coupon that we ran. And so net pricing going forward, we will continue to report on net pricing. Based on some of the different initiatives that we do, there could be some gross to net impacts on that. But as we said, ideally, we would structure future programs in a way that it's either more of a revenue deferral or a sales and marketing expense where possible. 
 But this was a great one that we wanted to pilot and evaluate. And we saw the desired effect that was very well received at the practices where we rolled it out. In talking to them, they were able to -- that conversion discussion with the patient was much easier. And that helps get more patients exposed to DAXXIFY, which we think will create the necessary stickiness that we want over time. And so that was more on the services, activation, more consumers. 
 In terms of consumer pricing coming down, that wasn't related or connected to the consumer coupon. When we rolled out the lower price to accounts, since we don't ultimately control what they charge to the consumer, we were hoping that they would pass that savings along. But it doesn't happen overnight. You had some accounts that were happy charging a premium and wanted to stay the course, and then you had others who sort of were trying to figure that out. 
 But we listened to the market, we made the price change so that they could offer DAXI at a price that's in line with other toxins so that the switch discussion or the discussion with the patient becomes much easier. Hey, I can give you this new peptide power toxin. It's the latest innovation in the toxin space. It's not going to cost you any more. And oh, by the way, you're likely going to see it kick in quicker, last long, and you'll observe some better skin quality. And that has made for a much easier switch process. 
 And so we've been encouraged by the fact that, that is coming down. But that's untethered from the consumer coupon. The consumer coupon program went out to a subset of accounts where it's this overall price strategy. But we feel -- and again, with all my visits, people are saying this has just really made things easier. People are loving DAXXIFY, and this change has made it much easier to switch patients. 
Serge Belanger: Got it. And then when we've conducted aesthetic consumer surveys, DAXXI typically comes in last of all the toxins in terms of awareness. And obviously, it's the newest product, so that's not surprising. But curious what you see in your own surveys and what you're doing to increase that awareness of the product to drive additional demand? 
Mark Foley: Yes. So listen, obviously, coming into the market where we are, the first thing that we wanted to do is to make sure that we got the providers in a good spot, because if we spend a lot of awareness dollars with the consumer, and they went into accounts that either didn't offer DAXXIFY or accounts that weren't happy with DAXXIFY, that wasn't going to create a good ROI. So that's why we spent the last 2 quarters really focused on reengaging these practices that already were trained on DAXXIFY, saw the promise and the benefit, but given the pricing struggled with sort of patient expectations. And so we thought that was first and foremost. 
 We've been supporting the brand with some digital and social. But we'll be upping and increasing our spend there in those areas now that we have a broader user base. We have some internal KPIs exactly around that, brand awareness, share of voice, all of these things. And so we understand and appreciate the need to support the brand at the consumer level from an awareness standpoint. But we also think that making sure that these practices have the tools at the practice level to be able to engage customers in a discussion around something new is also a really good ROI. But yes, we will increase some of our social and digital efforts to create more awareness. 
Operator: The next question comes from Tim Lugo with William Blair. 
Lachlan Hanbury-Brown: This is Lachlan on for Tim. I guess one clarification to start on the market share data, can you just talk about how that's calculated? Is that patients treated, vials sold, some other metric? 
 And then on my actual question, I was curious if you've seen any changes in the use patterns of DAXXIFY, the pricing change either in terms of how injectors are using it or the type of injectors or practices that are interested in getting it or anything else that you may have seen? 
Mark Foley: Sure. So first, on the market share question. So we use a third-party independent data source QSight, which is part of Guidepoint. And this is -- the market share is calculated by average patient spend per -- average patient spend at the practice level. So kind of if we look at the total dollars that a patient spends across these practices, that's how we calculate market share. And it's a good sample size. Obviously, they powered it to make sure that it's accurate and reflects kind of what the trends are in the market. 
 In terms of usage patterns on DAXXIFY, typically, when an injector decides to inject a product, they use that product for the different areas that they want to treat on the face. And so what we are seeing is a good mix of a nice pipeline of new accounts that are coming in and sort of experimenting with it to see where it fits in their practice, combined with existing accounts that are getting more comfortable and confident in the product that are growing their share within their practices. And that was reflected by, again, the higher average order volume per practice that we saw in Q1 compared to Q4. And so it's going to be a mix. 
 And listen, across any practice, since we have a smaller percentage of our accounts that have made DAXXIFY a majority share in their practice, you'll have some that will use it for patients that want something new or some that say, hey, the current toxin I have isn't providing me kind of the value that I want. And so there will be some variability among practices. But on average, they get in, they start it with a certain subset of patients, and then they continue to grow it from there. 
Operator: The final question comes from Navann Ty with BNP Paribas. 
Navann Ty Dietschi: My first question is will results increase the share of med spa versus derms and plastics? And will that impact the use of coupons and other promotions going forward? 
 And then I had a second question on therapeutics. The CD launch came slightly earlier than expected. So is it based on the previous survey or early feedback or other company's payer preparations? 
Mark Foley: Sure. Thanks, Navann. I'll try and make sure I hit these right. So first, in terms of our customer mix with Revance and the consumer coupon, the lines are increasingly getting blurred across med spa versus core account because you'll find, for example, plastic surgeons, they might own 3 med spas, and they're the medical director there. And so is that a plastic surgery account or is it a med spa account, if you look at it, our primary focus in the quarter was to double background of those accounts that had already ordered DAXXIFY. And so we said that we've got now 3,500 ordering DAXXIFY accounts. As at the end of Q1, we have a really good healthy mix of all types. 
 We've got some med spas, really high-volume med spas. We have some boutique med spas. We have plastic surgeons. We have dermatologists, and we have some cosmetic physicians. So we have a good mix across all of those. The consumer coupon went into a subset of accounts and represented all those different ones. I think universally, it was appreciated, because they realized that it made for a much easier switch process in a lot of these accounts to offer their patients something of value, which is always good for them as a practice to say, hey, I've got something else that I can offer to you. 
 Your other question on the CD side and sort of how we're tracking it, we got approval last August. We did indicate that we were going to start a PrevU program, because we wanted these subset of KOLs to have access to the product, to get through a few treatment cycles, to inform or go forward. 
 And that's where we sort of learned a little bit more about, hey, yes, incremental duration is great, but if I can get better symptom control within the 12-week treatment time frame since there's published papers out there that say more than 80% of patients have symptom breakthrough before they can get reinjected or [indiscernible], that's a big win. We also -- they talked a little bit about how they think about dosing and dose escalation. And so all of that is woven in. 
 As you point out, we were very encouraged with the progress that our payer team has made. I mean to have a J-Code, to have over 200 million lives covered, pushing 80% of commercial plans already incorporating us into their plans is obviously a big jump, compared to where companies would normally be at this stage of launch. And we do think it bodes well for the long term. So we are very encouraged, and we have high expectations for that franchise. 
Navann Ty Dietschi: And maybe if I can ask as well if you have immediate uses for the $100 million offering? 
Mark Foley: I'm sorry, I missed that, Navann. 
Navann Ty Dietschi: If you have immediate uses for the $100 million offering? 
Mark Foley: Oh, the proceeds that we raised. Toby, do you want to hit that one? 
Tobin Schilke: Yes, I think when we talked about the offering, this is for general corporate proceeds. And so we continue to feel good about our runway and things like that. So this is -- we took the time on giving feedback on sort of where we were with various debt obligations that it would be prudent to strengthen our balance sheet. So there was an immediate use for that other than general corporate. 
Operator: Thank you. This concludes the Revance Therapeutics 2024 First Quarter Financial Results Call. Thank you for your participation. You may disconnect your lines.